Operator: Ladies and gentlemen, welcome to the Arkema Third Quarter 2019 Result Conference Call. I will now hand over to Marie-José Donsion, CFO. Madam, please go ahead.
Marie-José Donsion: Thank you. So good morning, and welcome to the Q3 '19 results conference call. I'm here together with Béatrice Zilm and the Investor Relations team. And as usual, in addition to the press release, we have posted on our website the slides which detail the third quarter performance. So I propose to start with the macroeconomic context, which remains clearly challenging. Geopolitical tensions are weighing on global demand. Our customers who operate on a low-visibility environment are being cautious in their inventory management as well as in their investments. So of course, this has an impact on our business. In such a context, Arkema delivers a resilient set of financial indicators demonstrating two things, I believe: first, the strength of the business portfolio; and second, the benefits of our transformation strategy. So if I start with the first item. So speaking of the strength of Arkema's portfolio, this third quarter, results show different trends between specialties and intermediates. We have been -- since the beginning of the year, we have seen the increasingly strong performance of specialty. And this trend accelerated in Q3 thanks to the impact of price increases to the continuous work on product mix and a more favorable raw materials environment. So Bostik is a good example of that, continuing on a strong momentum, recording EBITDA growth of 20% in the quarter and reaching an EBITDA margin of over 13%. So bear in mind, the performance in specialties is achieved in a downbeat volumes environment in technical polymers as certain end markets such as transportation, consumer electronics and oil and gas are still seeing lower demand year-on-year. Meanwhile, the intermediates businesses have Fluorogases facing a significant decline, suffering from the illegal HFC imports into Europe, while MMA/PMMA and acrylics have delivered a solid performance. On the second point, which is the impact of our long-term transformation strategy, we have ArrMaz delivering a solid performance in line with our expectations in quarter 3. In addition, we finalized the acquisitions of Prochimir in Adhesives and Lambson in Performance Additives. We successfully started the 50% expansion of our high-performance polyamide 12 powders capacity in the Mont site in France. And we have announced the 50% capacity expansion of our high-performance Kynar PVDF for the electric vehicle battery application at our Changshu plant in China. So finally, on the 14th of October, we announced the project to divest our noncore Functional Polyolefins business, which is an intermediate activity and part of our PMMA business line, for an enterprise value of €335 million, so roughly 10x EBITDA. It was important for Arkema and our employees to find the right partner, and SK Global Chemicals is an excellent strategic fit. And they will be able to leverage their existing assets to grow the business over the long term. So those actions, all in all, contribute to our long-term ambition for specialties to make up more than 80% of our sales by 2023. Just to give you an idea, if we include the pro forma contributions of ArrMaz, Prochimir and Lambson and take into account the proposed divestment of functional polyolefins, we end up with specialties making up 74% of group sales in the first nine months of '19. So I now propose to take a closer look at some of our financial figures for the quarter three '19. I'll start with sales that are up 2.3% compared to last year, at €2.2 billion. So this includes volumes rising 0.7%. So we have growth of acrylic monomers in Asia and U.S. that was particularly dynamic, notably thanks to the start-up of the new Clear Lake reactor in Texas. Volumes in Industrial Specialties are up 2.8% and thanks to strong performance in Thiochemicals in particular. And meanwhile, we have High Performance Materials that recorded a 4.1% volume decline impacted by the general economic context with weaker demand in certain end markets that are overshadowing the good momentum in high-growth niche markets such as batteries or 3D printing for technical polymers. The price effect is a negative of 4.4% with very contrasting factors at play. On one hand, the High Performance Materials division benefited from a 3% increase thanks to a positive product mix and our strong pricing actions, especially at Bostik. Whilst, on the other hand, Coating Solutions were impacted by lower propylene prices and Fluorogases by the very tough market conditions in Europe, the integration of ArrMaz on 1st of July is the main driver behind the 3.9% perimeter effect. And finally, we have a positive 2% currency effect mainly reflecting a stronger U.S. dollar versus euro. EBITDA at €385 million is 2.9% up on last year's level, which is a very strong performance in the current context. And the EBITDA margin at 17.4% remains resilient at a high level. Looking at the results by division. We have High Performance Materials EBITDA that rose 12% to €182 million. Together with the contribution of ArrMaz, Bostik was the key driver for EBITDA growth at a remarkably strong 20%, as I mentioned. Our mid- and long-term ambitions for this business remains, of course, as strong as ever. As for Advanced Materials, they resisted well in spite of the weakness seen in some of its end markets. EBITDA of the specialty -- Industrial Specialties division is lower relative to last year, at €152 million, marked by very different trends by business line. Fluorogases results were heavily impacted by lower prices linked, as mentioned earlier, to illegal HFC imports in Europe. With MMA/PMMA, resisted well thanks to the quality of its innovation and the lower raw material costs, I think it's fair to say, also, Thiochemicals' performance remains solid in the continuity of the first half. All in all, the division's EBITDA margin remains close to last year's high levels indeed. Coating Solutions EBITDA is up around 8% to €70 million with a 80 bps increase in EBITDA margin to 13.1% thanks to improving unit margins in downstream activities mainly. Just to mention on the impact of the Imelda storm on the Clear Lake facilities that, in the end, was limited to a few million dollars. Depreciation and amortization reached €135 million, so up €26 million year-on-year as a result of a number of phenomena: so IFRS 16, of course; the start-up of several production units; the integration of ArrMaz; and the negative exchange rate impact. Recurring operating income amounted to €250 million, and REBIT margin was at 11.3%. Nonrecurring items totaled €33 million and include PPA amortization from restructuring expenses, asset write-offs and acquisition costs of ArrMaz, namely. Financial results stands at €29 million, including an interest rate impact coming from the partial swap of our net debt into U.S. dollars. Year-to-date, the tax rate, including exceptional items, is at around 20% of the recurring operating income. And consequently, quarter 3's adjusted net income amounts to €166 million, which corresponds to roughly €2.2 per share. So moving on to cash flow and net debt. Free cash flow is once again very good at €218 million, mainly reflecting the group's solid operational performance and a decrease in working capital linked to the business seasonality. At 16.4%, the working capital ratio on annualized sales is comparable to last year's level. Total capital expenditure amounts to €148 million in the quarter, and we can confirm our assumption of around €610 million for the full year, so including both our [5.5%] recurring CapEx as well as the exceptional CapEx projects. Net debt reached €1.77 billion at the end of September. This includes close a to €600 million cash outflow linked to the payment of ArrMaz acquisition and that of the remaining stake in Sunke we bought from our partner, Jurong, as well as €13 million for share buybacks. Our balance sheet is very solid as the net debt represents 1.2x the last 12 months' EBITDA. To conclude my remarks, a quick word on the outlook. Our assumption is that the macroeconomic environment is going to remain challenging with ongoing cautious customer behavior. We will, however, continue to focus on our internal momentum and on the execution of our long-term strategy. And we therefore confirm our ambition to achieve, this year, an EBITDA comparable with the '18 record level. What does it mean for quarter 4? We actually expect to deliver an EBITDA for quarter four broadly in line with last year's Q4 level. This takes into account the strong decline in Fluorogases given the high base of comparison we had last year and the illegal HFC imports in Europe that are continuing to weigh significantly on prices. Specialty businesses should, however, continue to record solid growth, boosted notably by Bostik's positive dynamic, the contribution of acquisitions and improving unit margins in Performance Coatings. Of course, the contribution of specialties versus intermediates should be more favorable relative to last year, and this is a really positive point for Arkema. It demonstrates we are on the right track implementing our transformation strategy and step by step, improving the Company's resilience. So this concludes my comments. I thank you for your attention, and I'm now happy to answer your questions.
Operator: [Operator Instructions] The first question comes from Martin Roediger from Kepler Cheuvreux. Please go ahead.
Martin Roediger: I have a few questions. The first is on Bostik. I see this 20% EBITDA increase. And of course, it's partly supported by a low comparison base. But what was the primary reason for that increase? Was that price hikes? Or was it lower raw material costs year-over-year? And in that context, can you quantify the mix effect on the 200 basis points margin improvement? Because I remember that you have given up some business because that was low profitable. And therefore, that was also certainly supportive for your profitability. And secondly, on the tax rate, rather low again in Q3, what is your full year tax rate? Is that 20%? And should we expect that also go forward after 2019? And final question is on acrylic acid. You mentioned solid performance in Q3. Where do we stand right now in terms of profitability? Is it closer to mid-cycle conditions or to low-cycle conditions?
Marie-José Donsion: Okay. Martin, so I'll take them in order. So regarding Bostik. So we had this conversation, actually, for some time now. What I see in Bostik is obviously the strong effect of -- in terms of margin recovery versus last year, of the price actions that were conducted earlier on the year. And clearly, as we published in the first quarter or even the first half, you already could see, in fact, let's say, progressively, a 100 basis points recovery of the margin, 150 basis points recovery in the margin in the first half. And in fact, if you remember well, last year, it was a continued erosion of the profitability of Bostik since we were facing this lag in transferring the raw material price increase to the end customer. So this year, I would say these price actions clearly have paid out. So it's clearly, definitely pricing as well as mix because, as you could see, we had some pruning that's regarding some of the applications we have in the portfolio of our adhesives business, which was weighing on the volumes that we had on the first half. You can see, in fact, the situation in the second half is actually much more under control, and the volumes impact at Bostik are actually just slightly negative. So I would say price and mix clearly have an effect. The fact that we have a raw material context which is changed in '19 and is clearly more benefiting to the business is obvious because as you know, we are slow when raw materials go up. We are also slow when raw materials go down. But it's fair to say that, despite volumes not being extremely buoyant, we resist extremely well in terms of our pricing actions that we conducted earlier on the year. And clearly, they're holding up very well. So definitely, this continues to pay as we progress in the year, and as, in fact, the gap compared to the margin of last year increases further. So I definitely expect the margin level that we have reached now which is over 13%, to be a resilient one, not to mention to continue to improve further. In terms of tax rate, so we have actually a guidance which I think is around 20%, 21% effective tax rate for the group. This is a mix of geographies, as you know. We have actually a quite good situation in France since we have accumulated the tax losses that we can apply, obviously, to some of our profits. So this has an impact on the average tax rate of the Company. But I definitely confirm we are in line with the guidance, and I don't expect a significant change of that guidance as we go into next year. Concerning acrylic acid, I'd say we are still in this mid-cycle plus in U. S., mid-cycle minus in Europe and low-cycle level in Asia. I'd say we start seeing some pressure. It's on the margins of the upstream. That, of course, clearly benefits to the downstream. So right now, clearly, this Coating Solutions segment is actually performing really well. Now there is obviously tension in the market, and therefore, we are obviously monitoring this into Q4. At this point, I am not seeing a changing trend as we enter into -- we are finishing now October. So, no major change in trend.
Operator: The next question comes from Alexandra Thrum from Morgan Stanley. Madam, please go ahead.
Alexandra Thrum: Just on Fluorogases and the illegal imports into Europe. It obviously seems to be impacting prices quite significantly. Firstly, can I just confirm you're talking about a sequential decline as well into Q4? And also, what is it going to take in terms of regulation enforcement for this market to improve?
Marie-José Donsion: So regarding Fluorogases, you are correct. In fact, if you remember, the performance of this business line last year, we had an exceptional contribution, which was kind of out of the season because, normally, the high season for Fluorogases tends to be Q2, to some extent, a bit of Q3. And in fact, last year, we had an exceptionally good high-volume contribution on Fluorogases in quarter 4. And this year, definitely, if I continue on the trend we've seen for the -- since the start of the year and into Q3, I therefore expect an additional -- I mean, an increase -- decrease of the Fluorogases impact on the performance of the group, yes. So correct, it's kind of sequential. And in terms of actions from the EU, I'd say it's still at an early stage. I mean, I think there is now an awareness in the public of the situation. We went through a phase of denial first of the situation. I think all the actors of the market have been pretty vocal on the phenomena. And now basically, it's for Europe to actually put some discipline at its borders. So no, I do not anticipate right now a recovery or any change in the situation short term.
Operator: The next question comes from Alex Stewart from Barclays. Sir, please go ahead.
Alex Stewart: Could you talk a little bit about the volumes in Thiochem, where they're coming from, whether that's improved and a bit of context on that? And then in the same breath, perhaps, update us on your new Thiochem capacity in Asia, how the construction is going, when are you expecting it to sell first volumes? That kind of thing would be great.
Marie-José Donsion: Okay. Thank you, Alex. So this business is really enjoying a good momentum. So the main drivers for this activity, I'd say it's twofold. We have -- roughly 50% of the business is geared toward the methionine application. And in that context, we actually supply our partner CJ in Asia and our partner Novus in the U.S. So we are actually a good partner for nonintegrated methionine players. And we've seen actually a good level of demand in this market. I would say, as usual, it's a demand that grows typically 5%, 6% a year. So this is basically confirmed this year, definitely. The second point is desulfurization regulation evolution in the world. And we actually deliver a product that helps desulfurize the oil. And as these regulations become more stringent, so we also actually have enjoyed an increase in demand on that area, too. Classically, oil and gas, in terms of end market for Thiochemicals, is more kind of 2% -- 1%, 2% growth year-on-year. And in fact, this trend has a bit benefited from the evolution of the regulations and therefore has also contributed to additional volumes for Thiochemicals. So I think it's a good momentum for us to come up with this additional capacity in Malaysia. As you know, we are actually doubling the capacity of our plants there. The CapEx is actually progressing well. It's almost complete. We actually target mechanical completion by end of this year and the start of production early 2020. At this point, I still confirm this schedule.
Alex Stewart: Very kind. Could I just follow-up on that? Because the third quarter volume in Industrial Specialties was 3% positive. Thiochemicals is about 1/4 of the division. So it implies that it was probably a high single-digit growth in Thiochemicals' volumes. Was that evenly split between the desulfurization, the mercaptans and the methionine? Or was it more heavily weighted towards the desulfurization? Any sort of sense of where the growth comes from would be really useful.
Marie-José Donsion: No, I'd say methionine is still the highest contributor in terms of growth for this business, definitely. We have also an application which is gas odorization, which has also performed also extremely well in this business line. So because of the impact, our portfolio of products has been a high demand level across the business.
Operator: The next question comes from Mubasher Chaudhry from Citi. Please go ahead.
Mubasher Chaudhry: Just two quick questions. What's the cash inflow expected from the polyolefin deal? Just trying to figure out the net debt impact there? And then on the Fluorogases, do you still think you can be between the previous guidance of 2017, 2018 on sales? Or do you think it'll be edging towards the lower end of 2017? That would be helpful.
Marie-José Donsion: Thank you, Mubasher. So on the polyolefins disposal, as you know, we've given a total amount of the transaction. Actually, I've confessed kind of multiples in my speech just before. It was actually a pretty amortized asset. So you will see, in fact, in our publication, end of the year, we will have in our balance sheet the amount of assets held for sale that will be actually extremely visible. So in total, I'd say, yes, it's a significant gain on the transaction with, let's say, an average tax amount of €50 million. So probably assuming something, let's say, not far from a €200 million contribution on cash is not totally crazy.
Mubasher Chaudhry: And on the Fluorogases?
Marie-José Donsion: Regarding Fluorogases, I think we had, in fact, mentioned we were in the trend of 2017 contribution. I would now say we are probably below that level if I look at this year. So clearly, we are on the baseline, which is now more modest than what we had at the time in 2017, also probably more resilient from that point on.
Operator: The next question comes from Laurent Favre from Exane BNP Paribas.
Laurent Favre: Laurent Favre. Two questions, please. The first one, trying to reconcile your comments on the Q4 guidance of flat EBITDA and the guidance for the full year, am I right to assume that Functional Polyolefins will be in discontinued operations, and therefore, we're losing that EBITDA on a year-on-year basis? And then the second question, on HPM. Based on what you said on adhesives at 20%, it seems that Advanced Materials was not down, and I'm wondering why. Is it that ArrMaz is also growing EBITDA year-on-year? Or are there some exceptional factors that are helping Advanced Materials EBITDA on a year-on-year basis?
Marie-José Donsion: Thank you, Laurent. So regarding the polyolefins disposal, in fact, the only phenomena impacting our accounts for year-end are this reclassification in the balance sheet of assets held for sale. There will be no reclassification in the P&L. So after reviewing with our auditors, basically, it's not a business line in full, it's not a segment in full. And therefore, there is no change, basically, in the contribution of the polyolefins in the P&L of this year and of next year till the time we dispose of it. So no impact coming from this announcement on the P&L side. Regarding the adhesives progression and the Advanced Materials progression in terms of the margin; as we mentioned, in fact, Advanced Materials, despite they have this tough situation on the volume side on some of their end markets, they still enjoy some positives on some other markets. So the mix is actually holding well. And therefore, the margin levels and the pricing levels are also holding well in the quarter and let's say, since the start of the year. So right now, the contribution of Advanced Materials remains extremely good and extremely resilient. I also confirm ArrMaz performance is very sound. In fact, it's a significant increase compared to their performance last year quarter-on-quarter. It's fully in line with -- even slightly better, in fact, than the business plan we had on them. So clearly, the momentum at ArrMaz is robust.
Operator: The next question comes from Geoff Haire from UBS.
Geoff Haire: I just had two quick questions. First of all, just, I wondered if you'd comment on the organic growth of Bostik. When I look at your peers, it would appear that organic growth was negative for them. Is that the case for Bostik? Maybe you could split out price and volume? And then just going back to Thiochemicals. If your supply -- if you just supply Novus and CJ on the methionine side? Or are there other players you supply as well? Because I'm conscious that there is no volume growth for Novus and CJ, at least that's been announced. So I'm just wondering on where a lot of the new capacity in Asia will go.
Marie-José Donsion: So regarding the organic growth at Bostik, I'd say, putting together the volume evolution and the price impact, it's probably breakeven or slightly positive, let's say. And looking to Thiochemicals. I confirm, on the methionine, the main -- the two customers we have are the ones you have mentioned, and I have good volumes of selling to them. So this is what I can say at this point.
Geoff Haire: So could I just come back on that, then? If you're doubling the capacity of the Asian Thiochemicals and CJ and Novus haven't announced any new capacity in methionine, where is the additional capacity going? Is that going into sulfurization of oil or other end markets?
Marie-José Donsion: No. Actually, right now, we have doubled the capacity at the request of CJ, and therefore, this new capacity is mainly going to CJ, who has actually already completed their expansion at the site. So they're waiting for us to start, basically, delivering them. Right now, we have -- to try to anticipate this trend, we have transferred some of the material from Europe to Asia as well. But yes, it's fully devoted to this end market and to this partner.
Operator: The next question comes from Martin Evans from HSBC.
Martin Evans: Just looking at this third quarter, below the EBITDA line, there's a lot of negative indicators. Obviously, your REBIT was down. The margin was down. Net income was down. EPS was down for the quarter, although, I admit it was against a strong quarter last year. But given your comments on the sort of year-end outlook with customers managing their balance sheets, the fluorochem situation and what we're hearing generally, I'm just struggling a little bit now to see why or how you'll be able to grow next year versus, certainly, the current consensus, despite the acquisition contributions coming in because these, as I say, below the EBITDA line, the indicators are looking quite negative.
Marie-José Donsion: I'm a bit confused, actually, by your comments. So as we mentioned, actually, when we have this EBITDA, which is comparable to last year, you perfectly know, it actually includes the IFRS 16 impact, it includes the acquisition, it includes some positive Forex effect as well. So I don't think it takes anybody by surprise. In terms of, let's say, the other lines, as I said, tax is extremely in line with the guidance that we've given at 20% effective tax rate. In terms of financial expenses, we've had this refinancing of the hybrid bond that we did in the first half in light of the positive financial markets, securing actually €400 million with a gain of a 2% rate compared to our initial hybrid line. So I mean everything is the consequence of the actions that you conduct. Regarding next year, so as you know, it's kind of early to already comment on 2020. At this point, the macroeconomics that probably everyone assumes in the market are not too different from the ones we see in the current year. And in such a context, what you have seen is actually a very good resilience of the performance of the group. Now we will have the full year effect of the acquisitions that we have done, like, I would say, any other company in the -- in our sector or, let's say, in the market. So we can remove all the positives and see everything in negative, but all in all, definitely, I think it's a very solid performance in such adverse conditions.
Martin Evans: And just a second quick follow-up. On your definition of specialty because you have used it a lot through the call and more recently as well, do you have a -- whether it be a margin or a return on invested capital, do you have a target definition of specialty returns if, as you now say, 70% to 80% of the portfolio is specialty versus commodity? How do you see that definition?
Marie-José Donsion: So basically, the specialty characteristics that we define is when you have actually a leading position in a market with a limited number of players in specific products or applications, definitely a solid contribution, not necessarily only on EBITDA, but definitely on EBIT level. So as you know, Bostik and Advanced Materials have very different EBITDA profiles, but they also have very different capital expenditure intensity in them. When you look at the net contribution, they are actually both not too different and not -- and therefore fulfill these characteristics of specialty contribution in our portfolio. In terms of return on average capital employed, basically, we were, last year, at 15%. Of course, when you have this growth strategy, you start first having CapEx. And then the contribution of those assets only come up, let's say, by the time you finish the construction and even you finish the ramp-up of the asset. So this has a natural dilutive effect on the return on capital employed that you will see going forward. Yes, the minimum we've fixed is that we expect Arkema to continue delivering over 10% return on capital employed. And the businesses that we have in the portfolio will support that.
Operator: The next question comes from Chetan Udeshi from JP Morgan.
Marie-José Donsion: He left, probably. I don't know if he disappeared.
Operator: He left the Q&A session. So for the moment, we have no other questions. [Operator Instructions] So look, we have a question from Chetan Udeshi from JPMorgan.
Chetan Udeshi: Can you hear me now?
Marie-José Donsion: Yes.
Chetan Udeshi: Yes. Sorry. I don't know what happened because I was on the call. But the question I had was, can you remind us of the new projects which start up in 2020, how much they could contribute in the current environment? Because if I look at your HPM volumes, they are still down 4% or 5%. So I'm just wondering whether you would be able to ramp up all the 2020 projects as planned at this point given the current macro backdrop. And the second question would be on Industrial Specialties. Do you have a sense on whether Fluorogases probably has bottomed now? Or do you think we could have some additional headwind next year just given the exit run rate on pricing could be lower than the average for this year as a whole?
Marie-José Donsion: Thank you, Chetan. The new projects for 2020, I think I've mentioned a few, actually, initially. So of course, the exceptional project starting next year is the Thiochemicals capacity in Malaysia. And then we will have a polyamide 12, let's say, 25% increase in capacity in China. We have the start of our Japanese operation in the adhesives -- for industrial adhesives in Japan. So top of my head, this is what I would say. Then you will have the full year effect, let's say, of some of the contributions that we had this year, of course, since the acquisitions were mainly done, let's say, towards the end of the year. So you would have the full year of ArrMaz, the full year of Sunke, obviously, Prochimir and Lambson. You have the reactor of Clear Lake that started in the summer this year. So obviously, you enjoy a full year volume next year, same for Sartomer capacity in Nansha in China. So again, it's a combination of things that most of them have actually started or will start pretty early in 2020. Regarding Industrial Specialties, the Fluorogases, and then we've mentioned the performance this year and the contribution that is now, let's say, at a level which is below the 2017 level. I'm not -- again, I'm not expecting anything major in terms of changing trends. So right now, I'm assuming something not too dissimilar to this year.
Operator: The next question comes from Matthew Yates from Bank of America.
Matthew Yates: I wanted to ask about the dividend. I guess we're getting to the time of year where the Board begins to think about that. Given in this call you've emphasized how the portfolio has changed to become now north of 70% specialty and you've shown the balance sheet of just over one turn of trading leverage, are you thinking about a more fundamental review of the dividend policy? Or you still see quite rich deal pipeline to deploy the capital into?
Marie-José Donsion: So we've actually not fully completed, as you know, our ambition of -- in terms of M&A growth. So we've done some operations this year, actually both sides, buying and selling. We obviously still need to close some of those transactions. But definitely, I would still see a kind of bolt-on volumes of acquisitions continuing to feed the external growth in our portfolio. So at this point, what we said is that, clearly, we are in a trend where we progressively grow the dividend payment. As you know, payout ratio is still pretty modest. So we will continue probably doing that as we go into next year. Of course, this is subject to upcoming discussions at the Board.
Operator: We have no other questions for the moment. [Operator Instructions] We don't have any further questions, Madam Donsion.
Marie-José Donsion: Okay. Thank you very much. So I'll probably conclude, then, this call. Thank you very much for attending. As you've seen, I think it's a good set of numbers for this quarter in a challenging environment. I think, again, it reflects the robustness of the portfolio and the trend of transformation of the portfolio paying out in terms of the resilience of the results. So again, looking forward to see you in the coming conferences or, let's say, in the coming meetings we'll have together. Thank you very much, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.